Operator: Good morning, and welcome to the Quanta Services fourth quarter and full year 2024 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow management's prepared remarks, and we ask that you please hold all questions until that time. I will then provide instructions for the question and answer session. As a reminder, this conference is being recorded. If you have any objections, please disconnect at this time. I will now turn the call over to Kip Rupp, Vice President of Investor Relations, for introductory remarks. Thank you, and welcome everyone to the Quanta Services fourth quarter and full year 2024 earnings conference call. This morning, we issued a press release announcing our fourth quarter and full year 2024 results, which can be found in the Investor Relations section of our website quantaservices.com. This morning, we also posted our fourth quarter and full year 2024 operational and financial commentary and our 2025 outlook expectation summary on Quanta's investor relations website. While management will make brief introductory remarks during this morning's call, the operational and financial commentary is intended to largely replace management's prepared remarks, allowing additional time for questions from the institutional investment community. Please remember that any information reported on this call speaks only as of today, February 20, 2025, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of the call. This call will include forward-looking statements and information intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995, including statements reflecting expectations, intentions, assumptions, or beliefs about future events, financial performance that do not solely relate to historical and current facts. You should not place undue reliance on these statements as they involve certain risks, uncertainties, and assumptions that are difficult to predict or beyond Quanta's control, and actual results may differ materially from those expressed or implied. We'll also present certain historical and forecasted non-GAAP financial measures. Reconciliations of these financial measures to the most directly comparable GAAP measures are included in our earnings release and operational and financial commentary. Please refer to these documents for additional information regarding our forward-looking statements and non-GAAP financial measures. Lastly, please sign up for email alerts through the investor relations section of quantaservices.com to receive notifications of news releases and other information and follow Quanta IR and Quanta Services on the social media channels listed on our website. With that, I would like to now turn the call over to Mr. Duke Austin, Quanta's President and CEO.
Duke Austin: Thanks, Kip. This morning, we reported our fourth quarter and full year 2024 results, which included double-digit growth in revenues and earnings, and a number of record financial metrics. Total backlog at year-end was $34.5 billion. Notably, the renewable energy infrastructure solutions segment's twelve-month and total backlog achieved all-time highs. Our ability to deliver consistent profitable growth is a testament to the strength of our portfolio approach, a diversified solutions-based strategy that enables us to adapt to evolving industry dynamics while delivering mission-critical infrastructure. Quanta has produced record revenues seven of the last eight years, seven consecutive years of record adjusted EBITDA, and eight consecutive years of record adjusted diluted earnings per share. These results were made possible by more than 58,000 dedicated employees and our industry-leading operational and financial platform. 2024 was another successful year for Quanta strategically, operationally, and financially. While there are always areas for improvement, we are proud of our many accomplishments during this year, and we continue to look forward with excitement towards the multiyear strategic initiatives we are working on and the goals we expect to achieve in this and the coming years. We continue to see significant opportunity to advance our growth strategy and are pacing well against our multiyear financial targets, including double-digit EPS growth and double-digit returns. Our strategic initiatives are enhancing our service lines and capabilities while also expanding our customer base and therefore enlarging our total addressable market opportunity for both organic growth and strategic capital deployment. The energy infrastructure landscape is undergoing a fundamental transformation, and Quanta is positioned at its center. Utilities across the United States are experiencing and forecasting meaningful increases in power demand for the first time in two decades, driven by the adoption of new technologies and related infrastructure, including data centers and artificial intelligence. The energy transition and policies intended to strategically reinforce domestic manufacturing and supply chain resources. This increasing demand, coupled with tightening power generation capacity, underscores the urgent need for large-scale grid modernization and energy infrastructure development. Quanta's portfolio approach uniquely positions us to support our clients as they navigate this evolving landscape. Our diversified service lines, self-perform capabilities, and craft skill workforce give us the flexibility to deploy resources where they create the most value across geographies, industries, and service lines. We believe our collaborative solution-based approach is valued by our clients more than ever. We are positioning Quanta for decades of expected necessary infrastructure investment. I believe our service line diversity creates platforms for growth that expand our total addressable market. Our portfolio approach and focus on craft skill labor is a strategic advantage. It provides us the ability to manage risk and shift resources across service lines and geographies, which we believe will become increasingly important as load growth, electrification, and the energy transition accelerates. We believe our portfolio approach positions us well to allocate resources to opportunities we find the most economically attractive and to achieve operating efficiencies and consistent financial results. I will now turn the call over to Jayshree Desai, Quanta's CFO, to provide a few remarks about our results and 2025 guidance, and then we will take your questions. Hey, Jayshree.
Jayshree Desai: Thanks, Duke, and good morning, everyone. Quanta completed the year with fourth quarter revenues of $6.6 billion, net income attributable to common stock of $305.1 million, or $2.03 per diluted share, and adjusted diluted earnings per share of $2.94. Adjusted EBITDA was $737.8 million, or 11.3% of revenues. Of note, our cash flow in the fourth quarter and for the full year exceeded the upper end of our free cash flow guidance expectations. For the fourth quarter and full year of 2024, we had free cash flow of $575.4 million and $1.6 billion, respectively, with our full-year free cash flow a record. Our earnings and cash flow performance allowed us to end the fourth quarter with ample liquidity, a balance sheet that supports both our organic growth expectations and the opportunistic investment of capital to generate incremental returns for our stockholders. To that end, subsequent to the end of 2024, we acquired two companies for aggregate upfront consideration of approximately $562 million of cash and stock. This morning, we provided our full-year 2025 financial expectations, which call for another year of profitable growth with record revenues, improved margins, and opportunity for double-digit growth in adjusted EBITDA and adjusted earnings per share. We believe our expectations demonstrate the strength of our portfolio approach to the business, our commitment to our long-term strategy, our favorable end-market trends, and our competitive position in the marketplace. As mentioned in our earnings release, beginning with the three months ending March 31, 2025, we will report our results under two reportable segments: electric infrastructure solutions and underground utility and infrastructure solutions. The new electric infrastructure solutions segment combines the previous electric power infrastructure solutions and renewable energy infrastructure solutions segments. This new segment reporting reflects how the business is managed, resources are allocated, and better reflects the positioning of our strategies and comprehensive solutions for our growing and increasingly converging addressable markets. Additional details and commentary about 2025 financial guidance can be found in our operational and financial commentary and outlooks expectation summary, both of which are posted on our IR website. In summary, we are executing well on our strategic plan and are pacing well against our multiyear financial targets, including double-digit EPS growth and double-digit returns. We ended 2024 with record backlog, and our end markets have never been better, and we see opportunity for further strength in the coming years. With that, we are happy to answer your questions. Operator, thank you.
Operator: We will now move to our question and answer session. We ask that all participants limit themselves to one question. If you have additional questions, you may re-queue, and those questions will be addressed time permitting. If you have joined via the webinar, please use the raise hand icon, which can be found in the bottom of your webinar application. If you have joined by phone, please dial star nine to raise your hand. When you are called on, please unmute your line and ask your question. We will now pause a moment to assemble the queue. Our first question comes from Chad Dillard with Bernstein. Your line is open. Please go ahead.
Chad Dillard: Hey. Good morning, guys.
Duke Austin: Morning. Morning.
Chad Dillard: So just a big picture question here. So what does the shift from investing in training data centers to inference mean for Quanta and the broader grid? Is there any difference in labor needs, design approach, grid use? You know, is it a positive, negative, or net neutral?
Duke Austin: I mean, when we look at data centers and what it does, like, before AI, there was still significant demand. After AI, there's more demand. How much demand? I don't know. What I do see is we see firm commitments of generation at our customer level. You can look at it. You can point to it. It's well over fifty gigs. In a hundred gigs, honestly. So when you see those types of demand on energy, the type of data centers and how you're looking at it, we're not looking at it in that way. We're just seeing the demand on our infrastructure. So we know, we just see a great market there. And from deep seek to AI chips and what that does, we're not concerned with that at this point. We just see that demand that's firm.
Chad Dillard: That's helpful. And just a second question just on the recent M&A that you guys did. So I guess first of all, like, what sort of revenue contribution should we be baking in for 2025? And then on the civil business, how are you thinking about the mix of business going forward? Is this meant to support, you know, Quanta's core business, or are there gonna be other, like, ancillary verticals that you're gonna be operating in? And then on the Australia expansion, I guess, like, what's your long-term view on Australia as, you know, an attractive market and, you know, I guess, what is the market structure and how's the quantification there with this acquisition?
Duke Austin: The civil aqua solution business, I think from my standpoint, the DNA, the culture of the company, we've known them a long time, known them for decades, passed by their office my whole career. So I know the family. It's a great family business. It fits our DNA, and it also is something that the company itself has synergies against that, you know, obviously, we don't put those in the deal. I feel like when we look at those solutions that we can provide, it gives us a holistic approach. Our customers are asking for it. We can deliver it on a holistic basis and really add value to the overall solutions of what we're trying to accomplish. If you look at a thousand-acre solar site, look at a thousand-acre, ten-thousand-acre data center. You look at all the things that we do and try to provide solutions to, whether it's LNG sites. It doesn't matter. We will take the assets, the people, which are the core to it, and go and deliver against our own business as well as others. So it's a solution that people are asking for, and we want to be holistic when we look at it. Self-perform more capabilities and give ourselves the more flexibility as we look at the markets. In Australia, I'm continuing to invest in Australia. The front side of the business down there is something that we've said all along and would continue to invest in. Great companies, great markets. We're market leaders in the renewable business down in Australia. We like it long-term and feel like we can continue to invest in the country. So great rule of law and obviously gives us a lot of flexibility. So we're excited about that market as well. I'll let Jayshree comment on the revenues.
Jayshree Desai: We don't contribute. We're not gonna discuss any individual acquisition, but we'll tell you that the two acquisitions, the majority of it is captured in our U, U, and I segment, and we did give you guidance in that around what the inorganic contribution in our guide is related to that.
Chad Dillard: Thank you.
Operator: Our next question will come from Ati Modak with Goldman Sachs. Please unmute and ask your question.
Ati Modak: Yeah. Hi. Good morning, team. Maybe I was wondering if you can provide some color on the margin performance in the electric power segment, the factors that drove that, and how much of the margin improvement should we consider as structural going forward?
Duke Austin: Yeah. I mean, we executed well in the quarter. We've done, you know, some acquisitions there with Cupertino that are in this segment. Obviously, it had a lower margin profile, but a better return. So I do think when we look at it, the margins that we've stated in the past, ten and a half, eleven type framework, twelve on the outer years, where if you got a lot of utilizations and things of that nature in the business. But in general, we sat all along. It was back half loaded. We felt like the electric business will be strong in the second half. It was. You know, I can only say that we have the field and the personnel that we've had out there and the structures that we put together is what's delivering it. And I think as we see the markets, we will continue to deliver earnings in the ten and a half, eleven range in this segment. That's basically where we're at and where we'll be on a go-forward basis. So I think no matter what we do in that segment, that's kinda how you should look at the framework going forward. Yeah. It'll be some years that are above it due to some factors here or there. But given what we see in the market, that's kind of the framework we see going forward to an eleven percent.
Jayshree Desai: Yeah. I think also just to add to if you look at our electric segment, you're seeing us at ten over ten percent, and that's after taking into consideration that we have reduced storm from where we were in 2024. It takes out the Peru impact. And even with that, we're still in double-digit segment revenue. And I think that you should take comfort that we're gonna continue operating at that level. And the performance of the company from last year is gonna go into 2025 as well.
Ati Modak: Makes sense. Thank you, Jayshree.
Operator: Our next question will come from the line of Jamie Cook with Truist Securities. Appears you're on a phone, Jamie. Star six will allow you to unmute.
Jamie Cook: Hi. Can you hear me?
Duke Austin: Yes.
Jamie Cook: Oh, hey. Thanks, guys. I guess my first question, Duke, if you could frame, you know, the expectations for backlog growth in 2025 and in particular, can you talk to potential synergies or big awards that could be coup? I know you guys were very successful, you know, with revenue synergies associated with Blattner. I'm just trying to understand, you know, what's going on with Cupertino and is that an opportunity for larger awards in 2025? But my second question, Jayshree, just and I'm sorry if you miss this. I know I'm a cash flow guide, you sort of talked to it being more back-end loaded. Just how do we think about first half versus back half and what's driving that?
Duke Austin: Yeah. Thanks, Jamie. I think when we look at the business in totality, when we value these platform companies, we don't build synergies into, you know, the discussions that we have or the way we value them. But what we do see is when the total adjustable markets of TAMs on the business are something that goes unnoticed, the customer base goes unnoticed, those synergies show up. And you've seen them with Blattner, as we've gotten farther along in the balance of plant, the things that we're able to do with these type customers because there's convergence between technology, utilities, and the way we look at the data centers. And so the way that we're looking at the business certainly looks different. And those markets are different. If you just look at the tech CapEx and you look at utility CapEx. Utility CapEx is $200 billion plus. And then now technology is $300 billion plus, but probably just call it $150 billion in North America. The addressable markets that Quanta serves and how we converge in the nexus or the middle of it really puts us in a different position on larger projects. So I expect our backlog to be at record levels. It could CAGR at record levels. It wouldn't surprise me. But I do expect us to be at record levels throughout the year. I can't tell you exactly, you know, how the backlog books, so I can't tell you exactly when that'll happen. But what I see, bigger projects, our ability to perform solutions, something that's unnoticed to the investment community. We are a solutions provider. I'll say it again. Solutions provider. And what we do in those solutions that we provide and how we collaborate with that customer will allow us to, and our addressable markets are only getting bigger. So it just allows us more. And I think see it. We see it showing up. Super excited about where we sit and the strategies that we have going forward against solution-based, you know, how we use craft skill and engineering in that solution. So, yeah, I mean, I fully expect us to book larger projects, but we'll continue the base business. We are not taking our eye off that either.
Jayshree Desai: Hey, Jamie. Yeah. On a free cash flow, it's our typical profile, Jamie. It'll be back half weighted. Wouldn't expect too much in the first half, just given the nature of how our business operates. So I think you'll see similar cadence to what we've done the last couple of years.
Jamie Cook: Okay. Thank you.
Duke Austin: Thanks, Jamie.
Operator: Our next question will come from Stephen Fisher with UBS. Please unmute and ask your question.
Stephen Fisher: Thanks. Good morning. It was helpful to have the guidance for upper single-digit growth in generation versus the mid-singles and high and low voltage. Just curious directionally, if you can give us a sense of what those growth rates were in 2024 so we can kinda see how it compares year over year, and then just kinda looking beyond 2025 conceptually, do you think generation should still grow kind of above the high and low voltage rate for the next couple of years? Or is this sort of like the renewables piece kinda driving generation, which is gonna slow down while the grid part should be accelerating, and those streams will cross, if you will?
Duke Austin: Yes, Steve. I mean, I think you're seeing growth across the business. You're seeing that the APS sign at the midpoint, what is it? Sixteen percent? At the midpoint of EPS. You're seeing growth on the top line, call it organic growth six to seven. Ten percent if you look at the whole company on the top. So we're seeing growth. We're one of the reasons that we're going to one segment is how we run the business. And we feel like that the convergence of the business, we spoke a lot last year around T and D. Actually, I explained it for four months. That our transmission distribution crews cross segments. It was very confusing to the investment community. It's not how we run the business. So we put it together. So for us to go in and tell you how much generation growth or, you know, what is that? Because there's substation. There's all kinds of different things. Our people cross from data centers to chip plants to hospitals, clean rooms. We move all across. We're gonna optimize our people against the markets. We're not making any specific manufacture, you know, anything manufacturing where it's only specific to one segment or one TAM. I mean, we're addressing across a large customer base. So we like the way we're set up. And we're not gonna get into guidance on little pieces of the segment because it doesn't matter to us. What matters is the markets are growing, all the business is growing, we're putting up at the midpoint of the range, ten plus. You see growth all across it. So we feel like that all the markets that we're in are growing, and we can move and be nimble across them and provide those solutions that we've discussed when we go forward basis, how we're gonna run the business, how we're gonna talk about the business. And we have growth, and we see growth. You can see the backlog. I welcome you to look at the backlog and see what we put up in the renewable segment alone, which I believe we said that last quarter that we would put it up, and we did. And those kind of numbers are staying there, and they're not just twelve-month backlog. It's long-term backlog in the twenty-six, twenty-seven, and twenty-eight. So we see growth. I think you can comfort yourself on the demand you see for generation. It's just a supply and demand issue. We've said this. Like, the demand on generation, it doesn't matter. It's gonna be renewables. It's gonna be gas-fired generation. It's gonna continue, and you can see it. It's right there, and then we're talking about it daily. So we're optimistic. Like the growth. We're not gonna get into the little pieces of the segment. That's not who we are. We're a solution provider.
Stephen Fisher: Sounds good. Thank you.
Operator: Our next question will come from the line of Julien Dumoulin Smith with Jefferies.
Julien Dumoulin Smith: Excellent. Good morning, everyone. Thank you very, very much for the time. I appreciate it. Maybe just to come back to that last point here briefly, just on the renewable front real quickly. As you think about some of the headlines here under the new administration, can you speak a little bit to your confidence in the execution on the Sun's deal project specifically, both in terms of operations and permit considerations on across federal lands? I suspect it's largely intact, but just wanna make sure we've checked that off. And then separately and related here, as you think about this resegmentation, I think you were alluding to it a moment ago, but you know, if you were to resegment, right, again, just to use the hypothetical and brief, can you speak as to how that backlog would translate into compounding revenue as it stands today? I suspect some folks are looking at this and saying, is there something about a deceleration of the renewables business? Clearly, the backlog data points today would suggest otherwise. But if you can speak to that even more clearly than you just alluded to a moment ago, I'd appreciate it.
Duke Austin: Absolutely. Thanks. Sunzia, first of all, like, we're doing great. We're progressing well. I fully expect us to complete. We're not seeing any permitting issues on. You know, we're well past that. And then I wanna talk a little bit about Sunzia because I think people are worried about the replacement. If you break Sunzia down and you go soon after your project, if you look at the wind piece, it's basically two jobs a year. And I just, we're not worried about replacing some things. We've already replaced it. It's in the backlog. And then on the transmission line, yes, it's a big line, but we replace that as well. And so I'm not concerned at all with our ability to replace Zia going forward. And I think that's a misnomer in the investment community. I wanna get that out there and say, not worried. Second, when we're talking about generation, we're seeing renewable generation growth. We're seeing it in outer years. We're looking at twenty-six, twenty-seven, and twenty-eight. We put growth up in twenty-five. We'll put growth up in twenty-six. We're not concerned at this point with that, and yes, there's going to be gas generation getting built. We see it. We've said it all along. It's twenty, thirty percent. But when you start ordering turbines that are thirty-six to forty-eight months out, what are you going to do between now and then? And I still believe, like, even when you get turbines in, when you start to see that, you still got to build renewables behind it. And fill up the lines, and when I look at the cost of renewables, the way I'm looking at it and the way everyone should, we gotta fill the lines up with renewables, gas, batteries, everything possible because that's what matters, and people are underestimating transmission. The real issue is we need to build transmission in North America to really fully get the capabilities of all forms of energy. So I'm not worried about growth. But we need to get the permitting straight to get the transmission built.
Jayshree Desai: And, Julian, just to be clear, we are resending them starting first quarter.
Julien Dumoulin Smith: Yeah.
Duke Austin: We're resegment first quarter for sure.
Julien Dumoulin Smith: Yep. No. Absolutely. Indeed. And, Ju kay, if I can pick up on that last point quickly, because these RTOs have really released quite substantive increases in their transmission planning processes in the last quarter. So what's the timeline and cadence that you're expecting for some of the flow into your backlog? I get that there is some kind of lag here. It could be a couple quarters or so. How do you think about that across these because the numbers are really quite staggering in the last few months.
Duke Austin: Yeah. I'm glad you noticed. What I would say is I do think we're having those discussions today and before they even came out. I think that, you know, Steve was talking about the larger projects. Someone should look at those queues and see what those say, and that's on top of their already ongoing capital. Those are big projects that are both in on mainly all the RTOs for that matter. So you're starting to see bigger work, and we're having those discussions on a daily basis. So I like our chances.
Julien Dumoulin Smith: Alright. Well, best of luck.
Duke Austin: Thank you.
Operator: Our next question will come from the line of Steve Fleishman with Wolfe Research. Please dial star six, unmute, and ask your question. Again, Steve, that's star six. You're on mute. We can hear you. Please go ahead.
Steve Fleishman: Steve. Okay. Sorry about that. Hi. So I think on the I think you answered the question on renewables that you it sounds like the tailwinds are still there that you're seeing despite the change in administration and some of the tariffs, the other things that have come up just means there I just, like, would just ask, is there anything that you're watching or wary up there? But certainly didn't look like it with the backlog increase you got. Second question is you mentioned, you know, a lot of focus on gas, and that seems to keep increasing. I know you don't wanna be in the gas turbine business, but just do you see kind of the pieces of your coming together for a, you know, more growth in your undergrounding business over the next several years as this does seem to be likely to ramp up meaningfully, you know, looking out?
Duke Austin: Yes, Steve. First of all, like, you know, we do look at I mean, we're looking at administration on PTCs and how that would impact our customers. I think we watched that closely. There's a lot of safe harboring. We feel good about our top, you know, ten clients, and they're very sophisticated, and I'm not as concerned, but we do watch it. I think, you know, we have a really good ten years' worth of, you know, lookout in the renewables and what we see. And certainly some of that is based on the RA and the way it impacts it. But the administration, yes, it will be noisy, but I think in the end, the generation that's needed and what we need will prevail against those kind of short-term dynamics in the market, what you may hear. We are booking backlog. We see work out long, long out, and, you know, we need all forms of generation. I think it goes back probably ten years. And when we talked about it, we talked about all forms of generation. It's never been as pronounced as it is today. We need all forms. And we need it quickly and as fast as we can build it. And I think the demand is there. That's why you're seeing behind the meter things come up, distributed generation, everything that you're seeing because we can't meet it fast enough. When I look at, see, when we look at combined cycle, it's just not who we are. We can build it. We probably will build it, but we're not gonna build it at risk. And so, yes, we'll help our customers. We can build subs stuff around. We can do all kinds of things around it. But, you know, the cost of a combined cycle is not cheap either. And so I think trying to get gas to it and the cost on turbines and how much it costs to build one these days is not the same. And so I think in general, we have to make sure that we cover the company off on that risk. It's certainly been something in the past that I can't get out of my head. And I will be prudent about how we look at that business. I do think it's opportunities and opportunities all the way around it. Single cycles, small stuff, yeah, we can build them on this. Those aren't difficult. And we'll be involved in some of that. We won't take the risk on combined SOC.
Steve Fleishman: Thank you.
Operator: Your next question will come from the line of Justin Hauke with Robert W. Baird. Please go ahead.
Justin Hauke: Great. Thanks. Good morning, everyone. I guess I wanted to ask a lot of the big picture questions have been asked. I wanted to ask about the impact of the California wildfires. Yeah. I don't really think of that as storm work the same way that, you know, hurricanes knock down lines but just curious if that's had any impact to you here in the first quarter. And maybe more importantly, just the long-term thinking about undergrounding lines and, you know, your ability to do that and kind of the cost differential versus overhead lines, just kind of the long-term rebuild impact if you could comment on that.
Duke Austin: We were involved with some of the underground in California now, and it continues to progress nicely out on out. It's expensive. It is. So there's no question about it. But if between that and taking fire risk, I think it's probably not expensive. When you really look at the long-term nature of the business. We do see violent weather across the, you know, whether it's winter weather today or storms that hurricanes, fires, we're seeing it and the impacts of it. So I think as an industry, you're seeing the hardening programs in the west. You know, certainly, energy's got a resilient program ongoing that we're involved in. So we're involved in them. Every one of them. With our clients and trying to harden the grid and derisk their business. I don't think anyone ever intended to take fire risk on a line thirty-five years ago, forty, fifty years ago. So we have to, you know, put for ourselves and try to help and collaborate on what we see across the board to make the grid more resilient, more modern. And we're doing that. There's technologies out and things like that that are coming along as well. So, you know, everyone's kind of in this new paradigm of these violent events, and we're gotta harden the grid, and we're seeing that ongoing, and we continue to see it for decades or more. We built this grid over the last sixty, seventy years. Got a long way to go. And so I do see that happening, and we've got to, you know, get in front of that. As an industry, and there is risk out from fire as well. I mean, we have to watch ourselves in the risk that we have on fire in the west. So I do think how we interact and how we make sure that the company derisk ourselves in the middle of the fire is something that we watch as well. So, you know, look, we're all in it together with the clients and working hard to try to make a difference and make sure that we spare human life when these events happen.
Justin Hauke: Okay. Thank you very much.
Operator: Your next question will come from the line of Brian Brophy with Stifelnikolos. Your line is open. Please go ahead. Star six will allow you to unmute, Brian.
Brian Brophy: Thanks. Good morning, everybody. Hoping you could talk about the communications outlook here. Bit and any more detail on this Lumen announcement that you made here. How meaningful could that be, and when should we start thinking about contributions on that round? Thanks.
Duke Austin: Yeah. I was just trying to make sure you guys knew we're still in the telecom business. But in general, look, we had a nice award there. We continue to grow the business. We continue to, you know, incrementally move it forward. The data center demand on fiber is big. It probably goes unnoticed a bit on everything else, but I do think, you know, we continue to see long-haul fiber opportunities as well as just our core business in communications. We love the business. We're growing it. Like I said, nicely. And then sometimes it goes unnoticed, but, you know, I thought the word was meaningful and something that the investment community should say that we're still we're much larger, and I said it before, our addressable markets continue to grow. And where the company was five years ago versus where it's at today is much different from an adjustable market standpoint. So when you look at the growth going forward, you can see it across multiple segments, whether it's communication technology or utilities, we can go on and on, but I just think that is something that goes unnoticed. And I wanna make sure that everyone realizes that our addressable markets across the company have grown and getting larger.
Brian Brophy: Appreciate it. I'll pass it on.
Operator: As a reminder, we are asking that all participants limit to one question. If you have additional questions, you may re-queue, and those questions will be addressed time permitting. Our next question will come from Adam Thalimer with Thompson Davis.
Adam Thalimer: Hey. Good morning, guys. I have the same question, actually. I was curious about Lumen. What else you're seeing in terms of long-haul fiber? Could you book another award of a similar magnitude? And then, Jayshree, curious if you can comment on the tax rate. It was a decent step up year over year. Just wanted to see what was going on there. Thank you.
Duke Austin: Now we kinda talked about, you know, telecom being a billion. We're growing off a billion. And we base there, and I do think we'll see growth in long haul. We bought some smaller businesses three or four years ago. They're really growing nicely. Our markets are growing. There's no shortage of demand on infrastructure around the telecom, DAS space. So I do see us getting more awards, and we can deliver on national footprint. We talk about the utilizations of some of our underground business moving over into telecom. That can still happen. So we're leveraging all assets and leveraging people across these TAMs. And so I do think our ability to move resources across these customer bases is something that you'll continue to see the company move forward, and we're in multiple conversations across, you know, what I would consider all businesses, and there's growth to every one of them. Infrastructure for the next two decades that I see out is significant, and we're right in the middle of it with our cross-skill labor and engineering capabilities.
Jayshree Desai: Yeah. And as for the tax rate, I think a couple of things. One, we did some nice tax planning here that came through at the end of the year that allowed us to clean up some legal entities and take the tax benefit this year, as well as going into 2025, we had this year, we had the big benefit as well earlier in the year of the RSU vesting. We're assuming a lower vest rate and a grant vesting of the stock price in 2025. And so you see that as well. Combination of both those things are why you're seeing a step up in the tax rate.
Adam Thalimer: Thanks, guys.
Operator: Our next question will come from the line of Drew Chamberlain with JPMorgan. Please unmute and ask your question.
Drew Chamberlain: Yeah. Good morning and thanks for taking the question. Just a bit of a follow-up on the renewables bookings. Obviously, good to see the strong momentum there. Can you just kind of break that out a little bit on what you're seeing from a technology standpoint and where demand is kind of project profiles that are coming from your customers? And then also, you know, what you're hearing on the Safe Harbor impact that you touched on briefly earlier and how much, you know, that could either have already gone into the backlog or, you know, that's already being at play and what the outlook could be for their safe harbor type wins in 2025.
Duke Austin: Yeah. I think when we're looking at the renewable business, I mean, certainly, like, there's noise that continues, but our ability to book work there and what we see and how we can deliver across that market, like, we're not seeing any pullback. And so we're actually seeing more demand. And there's safe harbor. The safe harbor is really meant to, you know, our customers are buying equipment. They're doing the things that are necessary to make sure that the projects are protected for the long term, and the smart, the bigger ones, our customer base that we work for typically do that, and, you know, we're comfortable. You're not seeing the meaningful impact of, you know, call it beyond twelve backlog because of safe harboring at this point. We just see the market and the strength to it long term. And as far as the data center demand and if you were going to build generation tomorrow, I would just ask what would you build and how quickly could you build it? And you would find yourself building a solar plant probably. It's the fastest thing you can build. And I just think the way you go to market right now, no one wants to hear forty-eight months. They wanna hear forty-eight minutes. And so I think that will be key on how we look at the business. It won't be as much about what form of generation will be. How quick can you get it?
Drew Chamberlain: Great. Thanks, Duke.
Operator: Our next question will come from the line of Sangeetha Jain with Keystone. Please unmute and ask your question.
Sangeetha Jain: Hey. Thanks for taking my question. If I can ask on the civil acquisition that you made, is that mostly Texas-oriented now? I'm trying to see if you can leverage that to your Cupertino low voltage work for data centers maybe.
Duke Austin: Yeah. I mean, I think, Sangeetha, but, yes. It's southeast-based, not just Texas, but southeast. We can move it out. They have a lot of capabilities, engineering capabilities, and I only need to expand the business. So, yeah. So then, certainly, we can expand. When we look at it, you know, Cupertino works all across the lower forty-eight. So they're in Texas as well in the southeast. There's a lot of southeast expansions and Texas expansions. You know, I just think our synergies would allow us to really grow the business. We could probably absorb the whole business internally with synergies internally. So that's not gonna be the case. They get involved in industrial base, LNG, all kinds of different things. And so we're excited about having the capabilities. And I think when we look at acquisitions, we weren't looking for a civil business, but when we know the business well and it's really the culture, the DNA, what we look for in management teams, and how we go, our ability to put strategies for us and solutions to our clients and also the quality of the management teams are so paramount when we look at our acquisitions that this is a long-standing business. Fifty plus years old, generationally that we're super excited that those solutions will be something that, both internally and externally, you know, you can see. And sometimes you can't see it. But we certainly see it. And we like our opportunities there.
Sangeetha Jain: Great. Appreciate it. Thank you.
Operator: Your next question will come from the line of Mark Bianchi with Cowen.
Mark Bianchi: Hi. Thanks. I wanted to ask on the outlook for underground here in 2025. So 2024 was a bit of a lower margin year for that business. And you're showing sort of an expectation for improvement in 2025. And particularly, the year-over-year improvement as we get past the first quarter looks like it's a pretty good step up. So I was hoping you could kind of unpack, you know, what happened in 2024 and what's driving the confidence in the bounce back in 2025.
Duke Austin: Yeah. A couple of things. Your industrial business was down a bit, and, you know, the margins were down. We had some storms come through the Gulf Coast and impact us in the back half. So part of it is in our industrial business gets better. Canada. We're coming off big pipe in Canada. And so that's some of the impacts that are going back into your LDC business that we have growth in. And then, you know, when you look at the acquisitions, it's accretive. So the acquisitions are accretive. We have a better industrial margin profile going forward, as well as our LDC business in core business. In the utility space. People are starting to put more capital back into the gas business. So we're seeing that come back in the core. So all those things kind of come together, and that's you're seeing the impacts of margins going forward. But I would still say that we're leveraging the underground capabilities of gas across into telecom and to electric space on any given day. So you can see some pullback, and then electric may go up two hundred million of gas assets and people that move over there, three or four hundred. So you can see that on any given day in the business. If it was up to me, I'd have one segment, but it's not. So, like, we have two, and it does cross. But I do like our business in totality, and I think it's something that continues to see margin improvement. We're still not happy with where it's at, and I do believe you can get an upper single digits there or maybe even double digits.
Mark Bianchi: Great. So much, Duke. I'll turn it back.
Operator: Our next question will come from the line of Gus Richard with Northland Capital Markets. Please unmute and ask your question.
Gus Richard: Yes. Thanks for taking the question. On the federal level, it's a lot of changes. You've got indiscriminate layoffs by the, you know, government efficiency bureau, and that could slow approval processes. You've got the potential of deregulation to speed things up. You've got the potential of bans of solar panels being imported. Another impact. And I'm just wondering if you're seeing anything at this point due to these potential changes and sort of what's your expectation on, you know, how easy it'll get projects to get done will get pulled in or pushed out?
Duke Austin: I had a question. You know, really try to put my head down and work and not listen too much to it because it changes by the minute. I don't fundamentally, from the customers and how we see it, and what we've guided to. We've taken into account. We've been very prudent about how we guided to the midpoint. And anything that we've seen or think that could be a possibility, we've baked into our guidance at this point. So I feel comfortable that, you know, across our adjustment markets, we have room to, you know, expand on any given day. But you're right. I mean, one day, you know, some things are really, really good for certain parts of the business and some things, you know, could impact a bit. But in totality, we see growth, we see opportunity. Everything out here is just opportunity. I don't think it, you know, when you look at it, there's still a lot of if you go back to first term, a lot of this happened then, and we did nicely, and we continue to grow the business. I think the same thing will happen. It'll never be as good as you think, and it'll never be as bad as you think. So we'll be right down the middle with it, and, you know, the great thing is under any scenario, demand is gonna outpace supply at this point, and we just have to really try to figure out how to get in front of that. Would be more important.
Gus Richard: Great. Thanks for the answer.
Operator: Your next question comes from the line of Joseph Osha with Guggenheim Partners. Please go ahead.
Joseph Osha: Thanks. Good morning. Can you hear me okay?
Duke Austin: We got you.
Joseph Osha: Okay. Great. Duke, you alluded to this a little earlier. Obviously, lead times are way out there for combined cycle machines, but I was at PowerGen last weekend. You know, we're starting to hear sort of the same thing happening on the single cycle side. As people look to put, you know, peaking power alongside, you know, renewables. So I'm just wondering how are you seeing your mix evolve, and are you starting to see that same kind of, you know, frenzy and longer lead times on the single cycle side as well? Thank you.
Duke Austin: Yeah. I mean, you know, the single cycle business for us, we're certainly capable, and I'm not concerned near as much. Building a single cycle. So, yes, we'll be around the edges on that. We do see a lot of opportunity there. You know, whether it be, you know, you have a lot of diesel generation backup today. I think the single cycles will be forms of energy. You can backup and use them in merchant-type situations and things of that nature. So and it is way quicker to market with single cycle. So I do think that'll be a part of the solution to get the, you know, the project started quicker.
Joseph Osha: Thank you.
Duke Austin: Absolutely.
Operator: Our next question will come from the line of Brent Thielman with D. A. Davidson. Alright. We'll go to Phil Shen with Roscap, and we can return to you, Brent.
Phil Shen: Hello? Can you hear me okay?
Duke Austin: We can. Yes. Go ahead.
Phil Shen: Thanks. Thanks for taking my question. Wanted to go back to the AI data center theme. What opportunities are you conceptualizing now that could deepen your exposure to the AI data center trend beyond Cupertino? You emphasized that you're a solutions provider. What kinds of problems are your data center-related customers experiencing that you could support in a deeper way than you do now?
Duke Austin: Yeah. I mean, look, we're taking the same approach with the data center owners that we are with the utilities, and it's that intersection as well. So, you know, our ability to talk to our clients on the utility side, help them and help the data centers and stay in the middle. We wanna build infrastructure. All types of infrastructure involve craft skill, if it involves engineering, if it involves, you know, anything really, to be honest. Like, we're certainly in the middle of those discussions and how do we help collaborate to move things faster more efficiently across both customers as well as our renewables as well. So it's a convergence. We see it, and we're in the middle of it, and we will be trying to take advantage of those markets on a go-forward basis that we see. And we've said all along that we feel comfortable with craft skill. We feel comfortable building up our capacity on the front-end side of the business and using those service lines to provide a solution. So there's not much we're not talking about with these clients.
Phil Shen: Great. Thanks, Steve.
Duke Austin: Sure.
Operator: And there are no more questions at this time. I'd now like to turn the call back over to management for closing remarks.
Duke Austin: Thank you. I wanna thank the sixty thousand plus. They are the best in the business. They allow us to have this call today, and they're building what I consider the infrastructure of the future. I wanna thank them, and I wanna thank you for participating in our conference call. Appreciate your questions, your ongoing interest in Quanta Services. Thank you. This concludes our call.